Operator: Welcome to The E. W. Scripps Company third quarter earnings report. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. (Operator Instructions). I would now like to turn the conference over to the host for today, Mr. Tim King. Please go ahead.
Tim King: Thank you, Jeremy, and good morning, everybody. Thanks for joining us for the first analyst call of the new E. W. Scripps Company that excludes the businesses of Scripps Networks Interactive that were spun off at the conclusion of the second quarter. As we mentioned in this morning's press release, those businesses now will be listed in our financial statements as discontinued operations. In just a moment, we will begin with about 20 minutes of prepared remarks before opening up the lines for your questions. Let me first tell you who is with us here in Cincinnati today. Rich Boehne, the President and Chief Executive Officer and Tim Stautberg, the Senior Vice President and Chief Financial Officer, will speak in just a few minutes. And then joining us for the Q&A portion of the call are Mark Contreras, the Senior Vice President of newspapers, Bill Peterson, the Senior Vice President of our Television division, Brian Lawlor, whom you may have seen in a press release yesterday will succeed Bill starting January 1st and Douglas Lyons, the Vice President and Controller. Now just a couple of quick housekeeping items. If you could not stick with us for the duration of the call this morning, you can access a streaming audio replay by going to scripps.com and clicking on the Investor Relations link at the top of the page. We'll put it up there later this afternoon and we'll leave it there for a few weeks. You also can use that link by the way to find today's press release and the quarterly financials. And as always, our discussion this morning may contain certain forward-looking statements and actual results may differ from those predicted. You can check page three of the 2007 Form 10-K to read some of the factors that may cause results to differ from what you're about to hear. So with that, I'll turn it over to Rich Boehne.
Rich Boehne: Thanks, Tim, and thanks to all of you on the phone this morning for your interest in Scripps. I'm going to take just a couple minutes to give you a little bit of background and then Tim will talk and walk you through the numbers. These are certainly unusual times for our industry and for the broader economy upon which we depend. Times when the list of unknowns seem a whole lot longer than the list of what's known for sure about the operating environment over the next few years. You who are listening to the call have a hard job trying to pick businesses and companies and management teams that have both the assets and the judgment necessary to create real economic value for owners. I'd like to assure you that we here at Scripps understand that our investors have handed us their wallets, trusting that we will at some point hand them back fatter than when we got them, yielding a reasonable return. We understand that that's what we're paid to do and we fully embrace that challenge. That's why our number one goal short-term and I really do believe that short-term is to protect the good health of this enterprise, so that we are among the media companies best positioned to take advantage of opportunities presented by the digital transformation of our businesses. And as has been the case during similar times in our country's economic history, the financially strong will have the best opportunity to create real value for shareholders over the next few years. That's why behind all of the noise in our third quarter results is a very healthy company, built upon solid media businesses and attractive local markets. With those assets and a healthy balance sheet, we're able to focus on expanding our audience and revenue shares in our current TV and newspaper markets, investing prudently and modestly where there's an opportunity for a good return on investment, even in these very tough times. For those with the resources, the best time to make hay often is when the sky is dark, when the small and creative investments can be planted and ready to flourish when the sun returns. Despite the relative health of our company and its low debt balance sheet, we decided in recent days to take some additional steps toward ensuring that we have financial flexibility during this period of economic uncertainty. As discussed in the press release, we are completing today a 10% headcount reduction in our newspaper division. These cuts were made in conjunction with extensive long-term planning by our local managers. We also have frozen salaries for every senior manager at the corporate headquarters, and after a very difficult deliberation, we decided to suspend our quarterly dividend. These moves along with other expense reductions will allow us to further reduce our already modest debt and spend more of our time looking ahead with the entrepreneurial creativity and energy that has enabled Scripps to thrive and build value for more than 130 years. Now I also acknowledge that we gave you a quarterly update on our progress so here's Tim to walk you through the number. Then I'll be back before we take questions.
Tim Stautberg: Thanks, Rich, and good morning, everyone. We typically don't spend much time on these calls going over the figures in the press release. But there were a number of unusual items in the results we reported today, so I'd like to spend a moment on third quarter financials. There is still a fair amount of noise in the financial results owing to the spin-off of Scripps Networks Interactive on July 1st, so it's probably better to start at the segment level. At our Newspapers, all advertising categories declined by double-digit percentage. Within Classified, automotive was off 28% during the quarter, real estate, 36%, and help wanted down 46% from last year. Online advertising fell by about $1 million, or 12%, largely due to the sharp declines in the online ads that are tied to print classified. Online advertising that is independent of classified up-sells, what we call pure play, continued to increase by double-digit percentage. Now, this is an encouraging trend, but we recognize that it's still on a relatively small base at this time. For the quarter, total newspaper revenues declined by 17% compared with the prior year period. On the expense side, our newspaper expenses were down 7% in the quarter, a combination of lower compensation and benefits costs, caused by lower employee count and favorable adjustments for healthcare and disability claims and lower newsprint expense. Now the price of newsprint, as all of know, was significantly higher than in the third quarter of 2007, but we mitigated that increase through reduced consumption. One bright spot in the newspaper division is our participation in the Yahoo consortium. We were a charter member of this revenue sharing partnership and have seen our share of local online add dollars grow through the initial efforts involving HotJobs. The greatest potential may be in the ad serving network that launched recently. With this feature of the Yahoo relationship, we now can slice and dice the local audience data for our newspapers and Yahoo, in such a way that we can offer advertisers a message to reach highly motivated consumers in a specific demographic such as, say, women between the ages of 25 and 54 who recently have performed online research on new tennis rackets. Now, that's an audience a sporting goods shop wants to talk to and now we can help them reach it. Our paper in Knoxville went live on the network on September 17th and we have a rollout plan that will include the rest of our daily newspapers by February. Turning to our Television division, revenues rose 5% to nearly $77 million, both local and national were down, particularly the automotive category, as manufacturers and dealers pulled back when it became apparent, consumers would have difficulty getting car loans during the credit crunch. But political came in at $10 million, enough to boost total ad revenue above last year. That $10 million is lower than we had hoped to report. If there's one thing we've learned in the 2004 and 2006 election cycles, it's that political spending is unpredictable. No one would have guessed a year ago that the DNC would have prevented Barack Obama and Hillary Clinton from spending money during the primaries in Michigan and Florida, where we have three very influential stations, and the GOP chair in Lansing, Michigan may have been the only person more disappointed than Bill Peterson when John McCain announced he was pulling out of that state during the third quarter. Having said that, there are always factors beyond our control during election years. But by taking full advantage of the factors we can control, we're satisfied that we took more than our fair share of the political ad dollars that were available in our local markets, generally speaking, due to the strength of our news product. Our expenses at the stations were essentially flat compared with last year. There was a slight increase in employee costs as we continued our drive to build online resources for long-term success, and that increase was offset by the same favorable adjustment to healthcare and disability claims that I mentioned in the newspaper discussion. Turning to the consolidated income statement, Scripps reported an operating loss of $13 million in the third quarter. That loss included $22 million in separation-related expenses that carried into the third quarter, with a $20 million non-cash charge for the modification of pre-existing stock option awards after the spin-off of Scripps Networks Interactive. Now below the operating line, you will find another non-cash charge of $25 million to further write-down the value of our investment in Denver JOA. During the second quarter, we wrote down the value of all the goodwill in our newspaper division, and $95 million in the book value of our investment in the Denver JOA and our Colorado newspaper partnership. The third quarter write-down of our investment in Denver contributed to our reporting a loss from continuing operations of $21 million. Looking ahead, you'll notice that we're less specific in our guidance than we have been in the past. This is a recognition that the market turmoil of this autumn had led to such fast-moving and unpredictable changes in the habits of consumers and advertisers that forecasting fourth quarter economic activity with precision is extremely difficult. The best we can say at this point is that the revenue and expense trends we saw in the third quarter are continuing into the fourth. Political advertising at our TV stations came fast and furious in the first 34 days of the fourth quarter, reaching about $25 million, but the underlying trends in local and national television advertising will likely remain difficult. Corporate expenses are expected to be about $10 million in the fourth quarter. While I'm on corporate expenses, let me quickly mention a development that was not in the release. Our corporate expense line is very similar to that of other companies of our size in our industry, but we believe it's too high. From consolidating functions to striving for greater operating efficiency, we're turning over every rock to find savings. We haven't finished budgets for 2009, but Rich mentioned that senior managers here at corporate headquarters will be subject to a pay freeze next year. Taking it a step further, Rich asked the Board to cut his base salary next year. The Board agreed to his request and reduced Rich's pay by 10% for 2009. Just a few more numbers to review. As of September 30th, our net debt was about $44 million, reflecting our initial drawdown of about $60 million from our $200 million revolver, and cash on hand at the end of the quarter of roughly $16 million. Capital expenditures in the third quarter were approximately $20 million. The full year figure will be in the neighborhood of $90 million this year before dropping to about $65 million next year. The big ticket items in there are the continuing digital build-out at several TV stations, which should wrap up in February and the construction or completion of a new newspaper facility that will serve the affluent and fast-growing markets of Naples and Bonita springs, Florida. For 2010 and beyond, the maintenance level for capital expenditures should be about $25 million a year. There were two announcements today that you don't normally see in our earnings releases. The first, of course, involved the dividend. As you know, the separation of the SNI businesses on July 1st led our management team and board to thoughtfully consider the appropriate capital structure for the company and our priorities for the free cash flow generated by the business. Based on the information we had in early August, our board of directors authorized a quarterly dividend of $0.15 per share, in keeping with our philosophy to return 50% of free cash flow to our shareholders in the form of dividends over the long-term. Since then, the ensuing turmoil in the financial markets and its immediate effect on our ad-supported businesses required significant adjustments to our forecasts for 2009 and 2010. Out of an abundance of caution, and in an effort to increase our financial flexibility during this unprecedented period of uncertainty, the Scripps Board decided to suspend the dividend. The thinking is that we're one of the industry's healthiest companies, thanks to our strong balance sheet, and we have a record of taking advantage of opportunities that help our shareholders. This very difficult decision will ensure that we don't miss any opportunities to strengthen our businesses, particularly while we're racing our local competitors to build share online. On October 15th, the company completed a share repurchase program that was authorized by the Board in early August, with the goal of absorbing expected dilution from the company's equity compensation plans. We repurchased 1.1 million shares at a total cost of $7.6 million. But given our focus on increasing the financial flexibility of the company, the use of free cash flow to repurchase shares is not a current priority. With that, let me turn it back over to Rich for some concluding remarks.
Rich Boehne: Thanks, Tim. Before we take questions, just a couple final thoughts. Scripps today is a healthy, low debt, well-funded enterprise because we have always focused on the long-term and been willing to make difficult decisions. Although done quietly and carefully, Mark Contreras and the managers of the newspaper division have reduced total headcount there by about 24% over three years, while at the same time protecting content and ad sales efforts and shifting resources to the growing Internet side of the business. The reduction of 400 coworkers completed this quarter, coupled with suspension of the dividend are the kinds of hard decisions we're willing to make in these uncertain economic times, to ensure that over the long-term we're able to be the owner of growing local media businesses powered by an expanding base of talented professionals who are dedicated to serving media consumers and increasing the economic value of this enterprise. Thank you so much for your partnership and support. And Jeremy, we're now ready to take questions.
Operator: (Operator Instructions). First, we will go to the line of John Janedis from Wachovia. Please go ahead.
John Janedis - Wachovia: Thank you. Good morning, guys. A couple questions. First, it looks like TV is going to have another tough year in '09 and I'm assuming you don't have the kind of flexibility on cost that you've had on the newspaper side. But could you maybe talk about some of the options there?
Bill Peterson: This is Bill Peterson, John. You're right, we don't have flexibility when it comes to programming expense and of course the other big chunk of our expense is people. And we are whenever possible looking at ways of reducing our population. We're not doing it through major reductions in force. We're doing it mostly through attrition and eliminating some positions as we're able to automate or change the work flow. Our real focus in 2009 is really building market share. We're focused on emerging from this recession with more market share than we entered it because that's the only way that we're going to get a payday from this.
John Janedis - Wachovia: Bill, does that mean you'll be taking that from other local media or from other television stations?
Bill Peterson: From other television stations, but other local media as well.
John Janedis - Wachovia: Okay. And maybe I'm not sure if this is for Rich or for Tim or even for Mark. Can you give us an update on Denver? Even with the significant cost cuts, it looks like you're seeing a lot of pressure there on cash flow. Is there some sort of option B for you there?
Rich Boehne: I'm not sure what you mean by option B.
John Janedis - Wachovia: I mean, I'm not sure what the option B, that maybe dissolve that relationship and end the JOA or I'm not sure what you could do or maybe close down one of the papers or maybe more consolidation or something.
Rich Boehne: Those will be real easy options in Denver, it is a joint operating agreement structure. Denver is going through some of the same pains that many large markets are going through. The good news is, Denver is a good market for the long-term. The local management team there that runs the JOA has been very, very good on the cost cutting side. We have a very good ad sales staff in place today, and we'll just have to see how it works through. But, over the long-term, we'd-look at that market like we would look at any other market and be willing to make whatever sort of rational decisions are required to ensure that it's healthy and provides a return to its owners.
John Janedis - Wachovia: When you look at that market relative to your other markets, is it performing in line or above or below?
Rich Boehne: I'll let Mark answer that.
Mark Contreras: John, it's a metro market and what's affecting them is what's affecting a lot of metro markets, which is primarily classified advertising and all three categories, auto, real estate and help wanted. So it's not out of the ordinary when you look at other similarly sized markets.
John Janedis - Wachovia: Thanks a lot, guys.
Rich Boehne: Thanks, John.
Operator: The next question will come from the line of Alexia Quadrani from JPMorgan. Please go ahead.
Alexia Quadrani - JPMorgan: Thank you. A couple questions. First on the newspaper side, the circulation revenues fell more than what we were expecting. Could you give us a bit more color behind that there? Was there some discounting, was there some voluntary pullbacks in certain areas, or was it just the weakness in the overall market?
Mark Contreras: We're doing a lot on the circulation side. Obviously, we're facing some challenges with volume, but if you looked into the third and fourth quarter this year and into the future, we're doing some things with circulation rates that are going to result, we think, net-net, in circulation increases. You'll also see in the next couple months, we're going to be moving to a relationship that's direct. It's an office bill situation which is a different relationship with our carriers than a buy-sell. So you'll be seeing circulation revenue pop up but you'll also see corresponding expense. We've got kind of a mishmash of systems today, but you'll see us going to kind of one unified way that we relate to our subscribers and how that's treated financially. So long story short, there's a lot of noise in that number in the third quarter and the fourth quarter.
Alexia Quadrani - JPMorgan: So it will continue to be under pressure in Q4, but hopefully in '09 you're suggesting it should get a little better.
Mark Contreras: Some stabilization.
Alexia Quadrani - JPMorgan: Okay. On the TV side, I think Tim you mentioned that you're expecting $25 million in political in Q4. Did I hear that right? And what are pacings in the fourth quarter?
Tim Stautberg: Alexia, it's Tim. What I mentioned was, the election having occurred Tuesday, we had a snapshot of what political revenue, our stations had been able to generate. It was $25 million. We wanted to make sure that that information was shared with everybody. However, the underlying business is such that the overall trend for the quarter is likely to reflect the trend we saw in the third quarter. A big slug of political advertising but underlying weakness in a lot of the other categories. We hope to be positive in the fourth quarter in terms of total when we're done but a lot will depend upon how the retail and automotive categories perform. Is that fair to say, Bill?
Bill Peterson: Yes. Alexia, in a way you have to kind of wait for the dust to settle because there were some advertisers who were displaced and then there were some other advertisers who just decided to avoid the fray. And we're waiting now to see who comes back. So we don't really have a strong sense of what we're dealing with, except for the fact that we know that there is weakness in the major categories like automotive and retail. And we've seen those signs that would indicate that that's going to change.
Alexia Quadrani - JPMorgan: Okay. And just back on newspapers real quick. Was the newspaper advertising growth throughout the third quarter, was it pretty even, the three months or was there significant falloff in September?
Mark Contreras: Alexia, this is Mark. It was pretty evenly spread, maybe a point or two more negative in September, but on a month-to-month basis, we've got a calendar that has different number of Sundays and so forth. So it's better to look at it on a quarterly basis. But we didn't see any dramatic trends, say, August through September, for example.
Alexia Quadrani - JPMorgan: Okay. Thank you very much.
Operator: We'll go next to the line of David Clark from Deutsche Bank. Please go ahead.
David Clark - Deutsche Bank: Thank you. Good morning. Tim, could you just talk a bit about the funded status of your pension plans. I think you were underfunded by about $70 million at the end of 2007. I'm not sure how that's split up between the two companies. But given the fall in equity values this year, do you think you'll need to make a meaningful cash contribution in 2009?
Tim Stautberg: Sure, Dave. You may have been looking at a projected benefit obligation versus the value of our plan assets as opposed to the accumulated benefit obligation. The accumulated is what we owe folks through the end of the period. The projected, clearly what we expect those folks to earn in the ensuing years. So we were well funded relative to the accumulated benefit obligation that we had at the end of 2007.
David Clark - Deutsche Bank: Okay.
Tim Stautberg: However, as everyone knows, the equity market declines throughout the year and especially what occurred in September and October, because we have a mix of plan assets that are both fixed incomes and equities. We along with everybody else saw our portfolios shrink and so we're working with our actuaries, we're taking a look at the forecasts for what that means from an expense standpoint and a funding standpoint over the next several years. So we're no different than a lot of other folks. We expect our pension expense, assuming that there's no recovery in the markets between now and the end of the year, pension expense, which I think this year was running at about $15 million, will likely double next year. And our funding requirements, which we were projecting to be near zero over the next several years, if we don't see a recovery in the markets, we'll likely have to fund $10 million next year and then that will probably grow to $30 million in the out years of 2010 and 11, as we start to try and make up that deficit. So hope that's helpful.
David Clark - Deutsche Bank: Okay. Very helpful. Yes. And then I guess for Rich and Bill, could you refresh my memory where you are in terms of retrans agreements, when do your major agreements come up for renewal, what agreements have been renewed recently?
Rich Boehne: Sure. I'll give you a little bit of background. Remember, those were agreements, many of them were put together prior to the separation of the two companies and some of the big ones are in place and have some years to run on them. But we do have some coming up that will provide opportunity. I'll let Bill talk about those.
Bill Peterson: Yes, we have around 800,000 subs coming up for negotiation, but they're all really tiny systems. So it's a lot of mom-and-pops and a lot of small ones coming up. The really larger ones, because they were negotiated by Scripps Networks go out quite a ways. Charter goes out to 2011. DIRECTV goes out to 2016. So some of the big ones we won't be dealing with for quite a while.
David Clark - Deutsche Bank: Okay. Great. Then just one other quick one. What percentage of advertising I guess on both the TV and newspaper sides comes from direct-to-consumer drug advertising for you guys, just ballpark?
Brian Lawlor: It's Brian. On the television side, it's a pretty low number, less than single digits.
Bill Peterson: Yes, they generally use network.
David Clark - Deutsche Bank: Okay, great. Appreciate it. Thank you.
Rich Boehne: Thanks, David. Mark's looking for that. We'll come back to you.
Mark Contreras: We'll dig it up for you, David.
David Clark - Deutsche Bank: Okay, great. Thanks.
Operator: We'll go next to the line of Craig Huber from Barclays. Please go ahead.
Craig Huber - Barclays Capital: Good morning. Thank you. A few questions. First one, I've never seen this before in your press release, you're talking about self-insured healthcare and disability claims, favorable impact on that, $3 million in the current quarter and newspapers about another $1.2 million in TV. I guess adds roughly $0.05 to the EPS in the quarter. Was that one-time in nature or should we expect that going forward?
Tim Stautberg: Craig, it's Tim. That is something that on a quarterly basis, we're always looking at our experience of what claims, again we're self-insured on the medical and disability side, so we have a reserve established and we're always looking at how claims come in and we adjust that on a quarterly basis. Many quarters, it's just noise that's too small to really worry about. But as the size of the company and the profitability of the segments has declined, especially this third quarter, that adjustment, which frankly is real savings, right? I mean, we've done a good job on the safety side with our folks. From a healthcare standpoint, we're doing a lot of wellness programs. On the disability side, we've seen some improvement there. So they're real savings. But because they're adjustments to an accrual, we just wanted to highlight those for folks. I don't know that that will continue every quarter to have those adjustments unless our experience continues to be strong.
Craig Huber - Barclays Capital: Okay, great. And then secondly, just thinking out to 2009, could you just review for us what you're expecting to happen to your newspaper rates, how you're going to charge for that in the new year across the categories?
Mark Contreras: This is Mark.
Craig Huber - Barclays Capital: Retail for national, classified and general, can you give us a sense of what you expect to be able to do for your advertising rates next year.
Mark Contreras: Craig, you are talking about print or online?
Craig Huber - Barclays Capital: I'm sorry, print.
Mark Contreras: What we've done historically and will continue to do is market-by-market review by category and the reason that we do it market-by-market, Craig, is because in some markets we may be the sole primary media operator there and it gives us additional room to drive rates. In others, where we're more competitive, we've got to take a different point of view. So I can't give you an across the board answer that we're going to raise rates X percent across every market. I can tell you that so far this year, our CPMs have held up reasonably well for the third quarter, for example, in local, our CPMs year-over-year are up 0.5%, total classified CPMs are down 2% and national is down 2%. So we do keep a very close eye on how our rates are performing. But I can't give you an across the board view, other than we do spend a focused amount of time on it and we do it on a market-by-market basis. I hope that's helpful.
Craig Huber - Barclays Capital: Are there going to be some markets, though, that you expect to cut your advertise rates for your half a page, quarter page ad, what have you in the two or three line classified ad?
Mark Contreras: Possibly. But again, I mean we're holding up decently in volume, we're not going to do that. So the game there is a market-by-market game, based on the paper's competitive position. But, that being said, in the past we have been focused only on trying to find places that we can drive rates. In some categories of classified, for example, private party, we've entertained and are doing free, but the market clearly is much more competitive than it has been and we're going to look at both ways to increase and ways to decrease to build share. But again, the mechanics there are market-by-market analysis.
Craig Huber - Barclays Capital: Okay. Switching over to TV, please, can you help us just I guess along the lines of what Alexia was asking here, post the election, what are your TV pacings for the month of November? Do you have that?
Brian Lawlor: Yes, it's Brian Lawlor. Craig, our pacing post-election is off year-to-year, but I think as Bill pointed out and it's an important point, there's a lot of our traditional advertisers who stay away from September and October, knowing that there's a high risk of displacement and they're just now getting back into the game. So I think that it's a little premature to make a final determination on what the quarter's going to look like. Right now, we're pacing off but we have seen some activity starting to generate and someone else pop up this week post-election.
Craig Huber - Barclays Capital: TV pacings, you should I would assume just have a snapshot post the election with the remaining days in November.
Tim Stautberg: Craig, it's Tim. Yes, we don't give, we've never historically given specific pacings. What we will say is the pacing support our quarterly view that I shared earlier in my remarks.
Craig Huber - Barclays Capital: Okay. And then one last thing, if I could, back on TV. Excluding political, can you just give us the revenue contribution from each of your top three TV advertising categories, you mentioned auto and retail, but just what the percent breakdown is for each as a percent of the whole, maybe for the last quarter, excluding political, how you want to do it, or year-to-date. I don't know if you have that data in front of you.
Tim Stautberg: I do. Automotive, this year is representing about 20% of our spending. That's our number two category. Services, is our top category and that's a couple points above that. And then our third category is retail and that's in the mid-teens.
Craig Huber - Barclays Capital: Do you have the next two below that, please?
Tim Stautberg: Four and five. Yeah, four would be food services, and then the fifth category is travel and leisure.
Craig Huber - Barclays Capital: What do those represent and I'll let you go.
Tim Stautberg: Let's see. Food services is probably around less than 10% and travel and leisure in that same category.
Craig Huber - Barclays Capital: Great. Thank you very much.
Operator: The next question will come from the line of [Sujaar Gunwala] from Fox Hill Capital. Please go ahead.
Karim Babay - Fox Hill Capital: Hi, guys. This is [Karim Babay] from Fox Hill. How are you?
Rich Boehne: Very good.
Karim Babay - Fox Hill Capital: I have a question I think, I mean, with the secular decline in classified and I know the economy is getting weaker and weaker, can you explain to us how can we replace the classified revenue going forward? I think everybody knows on the call for every dollar lost it's almost $0.80 on EBITDA. I don't think this category is getting any better.
Mark Contreras: Sure. This is Mark Contreras.
Karim Babay - Fox Hill Capital: Hey, Mark.
Mark Contreras: The reality is that there is a combination of both secular and cyclical declines going on, but to the extent that they're secular, we are banking that we're going to build our presence in those three categories, auto, employment and real estate, interactively. And when you look at the direction of our interactive businesses in those categories, depending on the category, we're performing much better. One great example is the Yahoo consortium. Tim mentioned earlier that just in the month of October, we were able to develop a brand new set of capabilities and services advertisers that we never have had and we're going to roll those out between now and February. But for the very first time our local sales forces, which are the largest in each of the markets that we operate in, are going to be able to offer an advertiser the ability not just to reach a mass audience but to target very specifically people who are interested in buying their products and services and that comes to us in a much higher CPM than we would necessarily get by producing a mass offering to an advertiser. So this is not going to be a one year fix. When you look at the underlying trajectory of our audiences, though, I'm frankly very encouraged. Our Internet audiences, our uniques were up in the quarter 60%. We're keeping our eyes focused on building out that audience because as we develop other products to offer and different business models to offer, we think we're going to be able to continue to create value for our shareholders by providing those services. But it's going to be in a much different package that we've been able to deliver previously and there is going to be decline and some breakage along the way, compared to our model three or four years ago.
Karim Babay - Fox Hill Capital: Understood. One last question. Could you update us a little bit about your CapEx program going into '09?
Tim Stautberg: Yes, it's Tim. Roughly, $65 million for next year, about 50 of that is going to be to complete the construction of the Naples facility. And then the balance is I guess probably roughly 10 or so is television or a little more and then some projects here and there. But we're going to be very tight fisted on any discretionary capital, clearly, during the coming year. I would add that in Naples, we do have a 10-acre parcel where parcel where we currently are operating the Naples newspaper that will be available for sale once we move out to the new location. We're not sure the timing of when we would be selling that parcel, but that will bring in some cash to the company. But it's likely to be a 2010 event or beyond. But we want to make sure that there's a healthy market to sell into.
Rich Boehne: This is Rich. Let me give you a little bit more background on Naples, especially for those of you who might be new to the story and reading about it or listening to Tim's comments. In Southwest Florida, we have an excellent local media business that has been expanding across all platforms. We got to the point where we were having to turn away advertising and not able to produce the products that the market demanded. On top of that, we expanded north toward Fort Myers into an area that we think will represent a very good sized Florida City over time. We launched products there both in print and online daily, weekly and across the board. And that's an example of the market where we think we're more than just the incumbent. We have an absolute very good opportunity to build value over time. Unfortunately, we had to make that investment during a difficult time in the economic cycle. But we're confident that, again, Southwest Florida is a place where we will build a lot of value and return a lot of cash to our owners over the long term.
Karim Babay - Fox Hill Capital: Okay. Thank you.
Operator: (Operator Instructions). We will go next to the line of Barry Lucas from Gabelli & Company. Please go ahead.
Barry Lucas - Gabelli & Company: Thank you. Good morning. Christian Science Monitors going almost 100% online. What thoughts have you given to moving delivery and distribution to online product and might you try that in some of the small markets, the way you currently print papers?
Mark Contreras: Barry, this is Mark. Wholesale online probably not in the near-term but I will tell you that we're experimenting in most of our markets now with our NIE products, newspapers and education and many of our papers have shut down the paper delivery of that and delivered that content to schools electronically. It's a very favorable economic relationship that we hope to expand to other areas. We also signed a deal with Kindle, with the Amazon folks about a month or so ago. To tell you the truth, we don't see it as panacea but it is a foot in the door in that arena and we're in discussion with the variety of people on a regular basis to experiment with alternative distribution platforms. Clearly, there are emerging various options for us that will give us the ability to deliver our content to a greater extent electronically as we continue to face pressure on the printed delivery model.
Barry Lucas - Gabelli & Company: Thank you.
Operator: We will go next to the line of Ross Levin from Arbiter Partners. Please go ahead.
Ross Levin - Arbiter Partners: Hi, guys. With respect to the share repurchase, I notice that you exhausted your board authorization. At what time might that be revisited by the board and what is management's view of repurchases going forward?
Tim Stautberg: Yes, Ross, this is Tim. I would say that in the near-term, I would say would be the next 6 to 12 months. We're going to be focusing all of our efforts on our operating businesses, as my remarks projected to everybody. We want to stay in the strongest possible position from a balance sheet standpoint, increasing our financial flexibility through this period so that we can make investments if the situation arises, either through the P&L or through modest acquisitions. Again, I'm not suggesting any major moves there, but during this period, repurchasing shares, suspending the dividend, we're not likely to be repurchasing shares in the near-term but it will be a subject of every quarterly Board meeting that we have and I would expect that a year from now, as we're looking into 2010, and have maybe a better window into hopefully the other side of this cycle. We might entertain that as a thoughtful use of cash and investment for our shareholders. But in the near-term, that is just not a high priority.
Ross Levin - Arbiter Partners: I guess has something sort of changed between now and October 15th? Because it seemed like between October 1st and October 15th you were fairly aggressive with stock. Now stock is down a bit and I don't expect you to change your decisions or sort of react to every single day's trading. But with stock down and it being 15 days later, have you sort of seen something from the bottom up in terms of your operating results or that sort of changed your view of what your discretionary cash flow might be over 2009? Or was it just sort of you wanted to get through the authorization at the price it was listed then and that was always the plan and there was no intention of further purchases?
Tim Stautberg: Yeah, it's more mechanical. We repurchased shares under a 10b5-1 Plan and we had a Board meeting in early August, authorizing us to go ahead and repurchase the balance of the authorization before the end of the year. We put in a 60 day program that ran from August 15th through October 15th and we didn't interrupt it. That's all there was.
Ross Levin - Arbiter Partners: So when was the Board meeting again?
Tim Stautberg: In early August. Early August we had a Board meeting. And again that was the Board meeting where we established a $0.15 dividend. Before the market turmoil, I think before the outlook for many, many industries, clearly not the least of which, newspapers, is much lower. And those are the changes that are affecting our decision on how to allocate free cash flow.
Ross Levin - Arbiter Partners: Thank you. That clarifies it entirely.
Operator: We will go next to the line of Gary Lenhoff from Ironworks Capital. Please go ahead.
Gary Lenhoff - Ironworks Capital: Good morning. Tim, can you help me out on the income statement, the equity in earnings of JOAs of a 1.9 million, is Denver up in the cost of expenses or help me understand the difference between that line and the operating losses, $3 million the segment profit.
Tim Stautberg: Sure, Gary. Trying to get to the different pieces. There's a footnote. Footnote three in the income statement details how you get from the equity in earnings of JOA and newspaper partnerships down to the contribution of segment profit. I think the answer to your question is probably in that footnote.
Gary Lenhoff - Ironworks Capital: Okay.
Tim Stautberg: And if not, maybe after the call we'll iron it out.
Gary Lenhoff - Ironworks Capital: Okay, great. When do you expect the 10-Q will be available?
Douglas Lyons: Monday.
Gary Lenhoff - Ironworks Capital: Great. Okay.
Tim Stautberg: That was Doug Lyons. He's hard at work tapping that up. The real challenge, and I have to complement Doug and the finance team that we assembled after the spin-off but there's a lot of work to be done to pull apart the Scripps Networks Interactive and E. W. Scripps especially on the tax provisions and looking back historically, so a lot of work behind the scenes and we'll have that filed on Monday.
Gary Lenhoff - Ironworks Capital: Great. Thanks very much.
Operator: We have a follow-up question from Craig Huber. Please go ahead.
Craig Huber - Barclays Capital: Yes, hi, it's a few new things. If I heard you right I thought you said $10 million corporate expense would be in the fourth quarter. If I heard that right, is there anything one-time in nature in there?
Tim Stautberg: This is Tim. Yeah, we have number of projects that we're working on to lower our expenses, frankly. So if there's some one-time stuff, that could be a half a million here or there for some projects that maybe spilled over. We're looking at frankly outsourcing our payroll and benefits administration from an in-house service to ADP. That will be effective January 1st, but there are probably some fourth quarter costs there. So our goal is to get our run rate down for corporate towards $35 million on an annual basis and then drive it further than that if we can.
Craig Huber - Barclays Capital: Okay. Then also, on the tax rate, if you adjust for these two large one-time items in the quarter, like your tax rate in the third quarter is like 15%, 16%. Is that just simple catch-up from the first half of the year, as you'd have to book the taxes for your company as it stands now or is there something else going on there?
Tim Stautberg: Doug Lyons is going to handle that one.
Douglas Lyons: Craig, it's kind of our run rate that we expect to the full year based on current income levels is about 40% tax rate.
Craig Huber - Barclays Capital: Adjusting for all these various one-time items.
Douglas Lyons: Adjusting after one-time items, it's applied to normal income about 40%.
Craig Huber - Barclays Capital: Okay. And then also can you give us a little more detail if you would on this 10% headcount reduction at your newspapers. I mean what areas across the board or what areas are you focusing on?
Mark Contreras: Craig, this is Mark. It really is across the board. I guess there are two areas that we were very careful not to diminish. That is the folks creating local news stories and local sales pressure. But beyond that, we went market by market, had extensive discussions with the local management teams, and primarily what you saw were reductions in areas that didn't directly touch a reader or didn't directly touch an advertiser. There are a variety of projects going on too to rationalize and centralize some functions. For example, we announced in October that we were going to discontinue printing in our San Angelo paper and move that printing to Abilene January 1st. There's a whole handful of projects ongoing that will result in further expense declines. But it really was a market-by-market look at what the opportunities were with kind of a consistent theme, making sure that we were able to still be the dominant local news provider and be the strongest local sales force. Hope that helps.
Craig Huber - Barclays Capital: Okay, great. Thank you.
Mark Contreras: Thanks, Craig.
Operator: Speakers, at this time, there are no further questions in queue.
Tim King: Yes, thanks, Jeremy. Before we sign off actually I think Mark had an answer to an earlier question from Dave.
Mark Contreras: Dave, I'm going to approximate the question on the direct drug business. Our total national is about 6% of our total ad revenue. There is an all other category that we track which is about 40% of that. So the drug is embedded within that. It's probably 2%, maybe of our total ad revenue and I just wanted to try to approximate that for you. It's going to be somewhere between 1% and 3% of our total ad revenue that came from direct drug.
Tim King: All right. Jeremy, that will wrap us up. We appreciate the help.
Operator: Thank you. Ladies and gentlemen, today's conference will be available for replay beginning at 12 noon today and running through Friday, the 14th at midnight. You can access the AT&T replay service by dialing 1-800-475-6701 and entering the access code of 964814. International participants dial 320-365-3844, again the access code is 964814. That does conclude our conference for today. Thank you for your participation and for using AT&T's Executive Teleconference Service. You may now disconnect.